Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to PTC's 2025 Third Quarter Conference Call. [Operator Instructions] Following the presentation, the conference will be open for questions. I would now like to turn the call over to Matt Shimao, PTC's Head of Investor Relations. Please go ahead.
Matthew Shimao: Good afternoon. Thank you, Eric, and welcome to PTC's 2025 Third Quarter Conference Call. On the call today are Neil Barua, Chief Executive Officer; Kristian Talvitie, Chief Financial Officer; and Robert Dahdah, Chief Revenue Officer. Today's conference call is being broadcast live through an audio webcast, and a replay of the call will be available later today at www.ptc.com. During this call, PTC will make forward-looking statements, including guidance as to future operating results. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements can be found in the PTC's annual report on Form 10-K, Form 10-Q and other filings with the U.S. Securities and Exchange Commission as well as in today's press release. The forward-looking statements, including guidance provided during this call are valid only as of today's date, July 30, 2025, and PTC assumes no obligation to update these forward-looking statements. During the call, PTC will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in today's press release made available on our website. With that, I'd like to turn the call over to PTC's Chief Executive Officer, Neil Barua.
Neil Barua: Thank you, Matt, and good afternoon, everyone. I'm proud of what PTC is accomplishing in fiscal year '25, and I'm more confident than ever in the important position we hold in the market. Our vision for our customers' digital transformations is resonating. They rely on PTC software to build structured product data foundations in their engineering teams and to extend the value of that data across their enterprises. This helps us accelerate time to market, produce higher-quality products and manage complexity across their businesses. And these product data foundations are the fundamental backbone of AI-driven transformation for our customers and become a driver for organizing and structuring data using PTC solutions. In Q3, we executed well, 9.3% constant currency ARR growth and 14% free cash flow growth year-over-year. We also continued deleveraging our balance sheet and repurchasing shares. With our continued visibility to solid cash generation, we expect to remain active under our $2 billion share repurchase authorization. These results reflect continued resilience in a dynamic macro environment and also indicate the early progress of our go-to-market transformation and deepening strategic engagement with customers. In Q3, policy and trade uncertainty led some customers to slow or face deals. By quarter end, we began to see signs of stabilization as customers adapted to the environment. While it is too early to call a trend, our sense is that we are past the point of maximum disruption. Input costs and tariff discussions remain important watch items and dynamics differ across verticals and geographies, but demand has remained resilient. To us, this underscores that our solutions continue to be mission-critical for customers even in periods of macro uncertainty. Our Q3 results also reflect steady progress with our go-to-market transformation. The team is continuing to build a more consistent operating rhythm, and we're seeing encouraging signs. Pipeline creation remained healthy. Win rates with tenured reps improved modestly and new reps are making progress in their ramp. We're also seeing stronger collaboration across sales, marketing and customer success and deeper, more strategic engagement with senior decision-makers. While we're still early in this transformation compared to a year ago, we're structurally stronger and better positioned to support our customers. This remains a long-term effort and will continue to refine and adapt, but the early progress we've seen gives us confidence in the direction we're headed. We advanced our product data foundation strategy in Q3 with portfolio enhancements and customer wins across our 5 focus areas of CAD, PLM, ALM, SLM and SaaS. And we continued our progress with AI. In CAD, we released the most sophisticated version of Creo yet with Creo 12. This release included enhancements in several important areas, including AI-driven generative design. In PLM, we released Arena Supply Chain Intelligence, which brings AI-driven supply chain risk monitoring directly into the PLM environment. Our customer wins included a new Windchill+ deal with a well-known med tech brand in a competitive process, a new Codebeamer deal with a major automotive supplier. The adoption of Windchill+ with a long-time aerospace and defense customer and finally, a ServiceMax expansion with a med tech customer that is also standardized on Windchill as its enterprise PLM system. You can read more about our customer wins in the appendix lines. Our product data foundation strategy is also core to what we're doing with AI. Product data foundations are the backbone of AI-driven transformation. We have the solutions to deliver these product data foundations in PLM, CAD, ALM and SLM, and we have a deep understanding of how our customers apply this data across their enterprises. This combination is central to our vision and will keep PTC in the driver's seat to transform our customers' businesses with product data and AI. Fiscal year '25 has been a milestone year for our AI strategy with releases and meaningful progress from ServiceMax, Windchill, Codebeamer, Onshape, Arena and many of our other products. Feedback from customers has been very positive and validates the direction we're moving in. We'll release more AI capabilities in several products in Q4, followed by a strong AI road map for fiscal year '26. More broadly, our relation with NVIDIA highlighted in this morning's press release, reflects what's possible when product data intelligence meets cutting-edge innovation. NVIDIA has long used Creo and Windchill. But what's even more exciting is the growing convergence between PTC solutions and the expanding category of physical AI. As AI begins to shape the physical world, not just the digital, product data becomes a connective tissue. That's the role we're playing, and it's the one we expect to deepen with NVIDIA and others. While still early, it will be an area to watch and if it's directly with our vision of product data foundations and AI-driven transformation. Overall, Q3 was another solid quarter. As we execute in Q4, my confidence is driven by a few things. We have a strong Q4 pipeline with several meaningful opportunities across our verticals and core products, supported by the progress of our go-to-market transformation. Our vision of product data foundations, enabling AI-driven transformation is resonating well with customers and is aligned with durable secular trends rooted in their needs. These include the shift to software-defined products, regulatory-driven traceability and the move to SaaS. With that, I'll turn things over to Kristian.
Kristian P. Talvitie: Thanks, Neil, and hello, everyone. Starting off with Slide 6. As you know, we believe ARR and free cash flow are the most important metrics to assess the performance of our business. To help investors understand our business performance, excluding the impact of FX volatility, we provide ARR guidance and disclose our ARR results on a constant currency basis. At the end of Q3, our constant currency ARR using our fiscal '25 plan FX rates was $2.372 billion, up 9.3% year-over-year. In Q3, our free cash flow was $242 million, up 14% year-over-year, while we continued to invest in our key focus areas. Note that the free cash flow we generated in Q3 absorbed approximately $3 million of outflows related to our go-to-market realignment. Turning to Slide 7. Let's look at our constant currency ARR growth in more detail. Looking at our product groups, our constant currency year-over-year ARR growth was 8% in CAD, driven primarily by Creo and 10% in PLM, driven primarily by Windchill, Codebeamer and IoT. On a year-over-year basis, constant currency ARR grew by 8% in the Americas, 11% in Europe and 11% in Asia Pacific. Moving to Slide 8. We ended Q3 with cash and cash equivalents of $199 million. At the end of Q3, total debt was $1.236 billion, and we were 1.2x levered. In Q3, we continued the disciplined and consistent execution of our $2 billion share repurchase program and used $75 million of cash to repurchase 444,000 shares of our common stock. We also continue to diligently pay down our debt in Q3 with our total debt balance decreasing by $156 million. In line with what we've said coming into the year, we intend to buy back approximately $300 million of our common stock in fiscal '25 with approximately $75 million of repurchases expected in Q4. Our fully diluted share count in fiscal '24 was 121 million, and we currently expect fully diluted shares to be approximately flat in fiscal '25. Looking forward, our capital allocation strategy is governed by a couple of key principles. First, we believe PTC should operate in a net debt position. And second, given the consistency and predictability of our free cash flow generation, we aim to maintain a low cash balance. As such, we expect to return excess cash to shareholders via share repurchases. With that, I'll take you through our guidance on Slide 9. All of the ARR amounts on this slide are based on our fiscal '25 planned FX rates as of September 30, 2024. We've updated our guidance ranges for ARR, cash flow, revenue and EPS to reflect our year-to-date results and our outlook for Q4. I'll get into more detail on our constant currency ARR guidance on the next 2 slides. On free cash flow, we've raised the low end of our previous guidance range, and we're now guiding to approximately $850 million for fiscal '25. This guidance absorbs roughly $20 million of cash outflows for severance and consulting fees related to our go-to-market realignment and these are cash outflows that we don't expect to incur next year. For Q4, we're guiding to free cash flow of $90 million to $95 million. At this point, we have good visibility to the free cash flow guidance we've provided for fiscal '25. First of all, during the first 3 quarters of the year, we've generated almost 90% of our full year guidance; second, focusing on cash inflows and as of the end of July, we've already built most of what we expect to collect for the remainder of '25. And third, on the cash outflow side of the equation, which is also important, we know what cash outflows we have planned for the last 2 months of the year. It's worth pointing out that our free cash flow guidance is not on a constant currency basis. So it's important to be mindful of FX volatility. Approximately 45% of our ARR is transacted in foreign currencies and approximately 35% of our non-GAAP cost of revenue and operating expenses are transacted in foreign currencies. So we have somewhat of a natural hedge. That said, significant FX moves can have an impact. Given where rates are today, it's worth pointing out that FX is still expected to be a headwind for the full year, but should be a modest tailwind for the second half. All of this has been contemplated in our execution and guidance throughout the year. Importantly, we've maintained consistent billing practices over time. We primarily bill our customers annually upfront 1 year at a time, regardless of contract term lengths. Over the medium term, we continue to expect our free cash flow to grow faster than our ARR with our non- GAAP operating expenses expected to grow at roughly half the rate of ARR. A basic tenet of our subscription business model and budgeting process is that there is natural operating leverage that we benefit from as our ARR grows. To help you with your models, we also provide revenue and EPS guidance. However, I'd like to reiterate my favorite reminder, ASC 606 makes revenue and EPS difficult to predict for PTC, since we primarily sell on-premise subscriptions and the way revenue is recognized from these contracts can vary significantly based on variables that aren't necessarily relevant to the performance of the business. I did a teach-in on this subject on our Q4 fiscal '22 earnings call that you may want to refer to if you're new to PTC. You can find the presentation on the Investors section of our website. The summary is we believe ARR and free cash flow rather than revenue and operating income are the best metrics to assess the performance of our business. Turning to Slide 10. Here's an illustrative constant currency ARR model that shows our guidance for Q4 in context. You can see our sequential net new ARR over the past 11 quarters. The column to the right illustrates the dollar range of Q4 sequential net ARR growth that corresponds to our updated Q4 constant currency ARR guidance range of 8% to 9%. As we've discussed on previous calls, fiscal '25 is back-end loaded due to the size and shape of our pipeline, which is influenced by the size and shape of our expiring base. The majority of our net new ARR comes from upsells, expansions and cross-sells, so our expiring base dynamics can be important. Raising the low end of the full year guidance to 8% from the 7% growth we talked about last quarter, essentially takes the COVID or GFC-like scenario off the table. The 8% to 9% range for Q4 allows for some ongoing variability given the macro environment, which Neil commented on earlier. For example, deals could be downsized fully structured in [rent]. But we feel good about the size of the pipeline going into Q4. Moving to Slide 11 [indiscernible] similar illustrative model for fiscal '25 results over the past year. And in the column on the right, it illustrates the dollar range of full year net ARR growth that is matched to our updated fiscal '25 constant currency ARR guidance range of 8% to 9%. Note that compared to other years shown on this slide, fiscal '24 benefited by approximately $10 million due to incremental deferred ARR in that year. Finally, and consistent with my reminder from last quarter, we expect churn to remain low in fiscal '25. Since transitioning to a subscription business model, our business has proved to be resilient because our customers need to maintain licenses to our software to continue designing and producing their products. And while we sell to engineering, manufacturing and services departments, most of our business is focused on engineering, where spending by our customers tends to be more protected. With that, I'd like to turn the call back over to the operator for the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Tyler Radke with Citi.
Tyler Maverick Radke: I'd be curious just to get an update on kind of the go-to-market initiatives. I know you're heading into year-end planning and thinking about next year. How are you sort of thinking about the evolution of verticalization as well as the product in packaging at this point?
Neil Barua: Sure. Thanks for the question, Tyler. And like I was saying, the progression of the go-to-market transformation is giving us confidence -- incremental confidence during the last time we spoke around what Rob, who is here with me that could comment as well as we're working through the dynamics to build a durable go-to-market engine, for the foreseeable future. And so we progressed and we'll talk a bit about what we've seen so far. And I will say, as we're thinking about planning, those inputs around how we're thinking about and seeing the evolution win rates starting to creep up, how we're seeing rep productivity and the way in which Rob is making sure that new reps are ramped up effectively, tenured reps, how do we enable them, how do we arm with the vertical messaging, the product portfolio to get their productivity up. Those are all progressing as we thought they would be with some good momentum that's building behind it as we enter into Q4. So as we think about 2026 planning, we're actually at a good spot to consider all the progress, plus also the incremental progress that needs to be made in 2026 to really build through what we believe is the acceleration back to ARR growth rate that we would feel very good about based on the opportunity that we're seeing. But Rob, do you want to add color?
Robert Dahdah: Yes. I mean, obviously, everything that Neil said, just additionally, we feel like we came through last quarter with a lot of foundational work in place. Building on that. We're putting in some vertical messaging to help complement all that work was done, the foundational work and that's been getting tested internally and externally in terms of what it means for our customers that outcomes-based messaging, where we can really start to look at how we help solve problems by industry versus the features and benefits we sell. And that's very much on track. So that will be part of how we think about planning for next year and how we align for next year. So the work that needs to be done to affect the outcomes is in place, and we feel good about it.
Operator: Your next question comes from the line of Nay Soe with Berenberg.
Nay Soe Naing: Similar to the question before as well, Neil, maybe if you could -- anything else outside of the improvement of progress you've seen in the new go-to-market model. Anything else that's giving the confidence going into Q4 because your comment around the macro outlook incrementally positive probably for the first time in a very long time. So it would be great to hear what else is giving the confidence for the last quarter of the year.
Neil Barua: Yes, great question. One of the things Rob and I look at carefully is around how the pipeline evolves. And one of the things I find very refreshing about Rob's discipline with the go-to-market organization is around the alignment across all functions interfacing with the customer to ensure that we are maximizing the potential of that potential pipeline opportunity, but also make sure that we're putting all the resources to ensure that, that pipeline and what's in there, that opportunity is actually executed appropriately to the best way possible based on the customer demand as well as what we can affect from a go-to-market standpoint. And so Rob and us have put together a process where we look at the pipeline in a far more detailed manner based on opportunity. And then we all, actually, coalesce around how do we move that opportunity to be bigger and how do we move it to actually close rates that it's faster than what we historically saw. So when we think about Q4 and the work is ahead of us in terms of executing closing these deals, a couple of points that give me that level of confidence around the range that we're giving. Number one is we have the highest amount of $5 million-plus deals in the pipeline than we ever have had at PTC. All of those clearly won't close, but we are very well entrenched as an executive team in those accounts, and so we have visibility around how those can evolve to closure. I will say one of the things that we work through and the difference in how maybe ARR shows up in these deals is the structuring of the deal. So we're centered in secure the customer acquisition and customers might choose to ramp the deal or decide to do more within the quarter. And that affects, obviously, in quarter ARR doesn't change the great value that, that customer provides over the long term for PTC. So one is just the breadth of those deals that we see going in Q4. Two is the distinct and different introspection that Rob has instituted within the go-to-market organization to give us a high level of visibility around the probability of success of those deals coming to closure and by which they might come in terms of the structure. And then secondly, this is still an evolution that we'll continue on to continue to refine into 2026. But one of the things that we've talked about is, let's raise the messaging, let's raise the conversation of this wonderful mission-critical application that PTC gives to our customers to the C-level of our customers. And across Q3, I can't even tell how many times we are now talking to the C-levels of our customers versus the kind of levels that we've been talking to our customers for the last number of years. So we're elevating the conversation. In fact, I'll give you the anecdote of the announcement that we made with NVIDIA, who also is a great customer of ours of Creo and Windchill, that conversation is elevated to the Jensen level, which would have never happened at PTC for the last number of years, and that's where Rob is pushing all of us to get alignment at the top levels because it shows the great capabilities that PTC has and gives us a framework by which we could show them the great things that we could provide for them to transform their business and apply great technologies like AI to it.
Nay Soe Naing: Thanks you very much for all the detail. It's really helpful. Great to hear that with you're already seeing a lot of benefits coming through from the new model. Congrats on that.
Operator: Your next question comes from the line of Andrew Obin with Bank of America.
Andrew Burris Obin: Kristian, just a question. You mentioned something that the tariff uncertainty is dissipating. And it's a very interesting dialogue that we have with the CEOs in the industrial space. Are you seeing an actual change in behavior and maybe some budgets sort of being led out as a result of the deals that have been signed. I know it's only been a couple of weeks, but I've been, I guess, pleasantly surprised by your comments, you think it is starting to make a difference. Any color would be greatly appreciated.
Kristian P. Talvitie: Sure. I'm not on this call telling anyone that there's an all-clear out there in the marketplace where everyone's back to really doing all the transformation that's highly critical for them all to do. What I could say is that the level of uncertainty from the last call to this call has clearly been mitigated by several things that happened, quite frankly, throughout the course of July, as you noted, Andrew. And so what I'll say is there's more clarity in the conversations, our customers have more clarity around the guardrails they might be able to operate in. I'm pleased by that, by the way, around some of the agreements that have been made in principle, the tax policy, by the way, that got approved in the United States as an example, gives now a defined way in which manufacturers here in the U.S. can actually see the benefit of that tax policy and how that relates to their investment cycle. So there's been some positive elements of what has been done to give clarity to the situation. But our customers are still dealing, as you noted, Andrew, with how do they deal with higher input costs, even if a tariff policy is set. Now the input costs are, in some cases higher. How do they deal with that? How do they deal with other, by the way, geographies that have not kicked on the clarity yet? So we're still facing that. We factored that into how we think about Q4. We're keeping a close tab on it. But I would summarize one really interesting thing that has come across through the course of Q3, which is despite the uncertainty that we felt early in the quarter, despite some of the movements that occurred that we predicted in Q3, what I think has been highlighted is that mission-critical digital transformation to remain relevant as a company in a highly complex world with everything that's happening has actually elevated now for our customers to really think through how do they stay relevant in this dynamic world. And they look at PTC now as a strategic partner to do that. How that formulates over the next few years, we're working hard to execute across that. But I'm pleased by how we're thinking about our customers are thinking about changing their businesses as well using PTC.
Operator: Next question comes from the line of Jason Celino with KeyBanc Capital Markets.
Jason Vincent Celino: Great. This one is actually for Kristian. We love your accounting tutorials. I was a little surprised you didn't mention any old BVA benefit. It may just be timing related and might be more of a next year tailwind. But curious I'd ask how we should think about it. And is it probably going to be more of a next year benefit?
Kristian P. Talvitie: Yes. Jason, thanks. Great question. Yes, for PTC, that benefit will be a fiscal '26 benefit, and we're still working through some of the details on exactly how much that's going to benefit us. But suffice it to say, it will be a tailwind. So our cash taxes will not be going up as much as we had contemplated previously. But again, details to be forthcoming when we issue our fiscal 2016 guidance.
Operator: Your next question comes from the line of Ken Wong with Oppenheimer.
Hoi-Fung Wong: That's fantastic. Neil, I was hoping maybe you could address the elephant in the room. I know it's not typical for you guys to comment on M&A headlines. But obviously, there was something about competitor acquiring you guys above how you guys are thinking about it and how you would suggest investors think about PTC going forward?
Neil Barua: Sure, Ken. Thanks for the question. And by the way, thank you mostly for coming to our event the other day in California. And we invite anyone to come to those events to just see the progress of what product data foundation looks like for PTC and what we could do with customers. But like in terms of your question, as I'm sure you could truly appreciate, we do not comment on market speculation. But I'll say this, PTC is a strategic leader in our space, like you know. So it is not surprising that we'd be of interest in industry conversations about consolidation whatsoever. That said, our focus is on execution and creating strategic value for our customers and shareholders.
Operator: Your next question comes from the line of Siti Panigrahi with Mizuho.
Sitikantha Panigrahi: Great. And congrats on a good quarter. And Neil, it's good to hear some of the positive commentary about AI. Could you walk us through some of the early adopters using AI, and I know it's pretty early to expect any kind of benefit. But what kind of ARR uplift we should expect as customers start upticking AI.
Neil Barua: So Siti, good to hear your voice again. Thanks for the question. As you've noted, and I think as we've been mentioning now for a bit of time, but it continues to accelerate, AI is at the forefront of almost every customer conversation. Some, as you're asking, are piloting, some are thinking about scaling. One of the biggest things that is critical here around our approach is we're really differentiating our AI solution that we talked about. We talked about ServiceMax AI previously Onshape AI Advisor. There's a number of releases that are coming out in Codebeamer, Windchill, Creo 12 is a great indication of what we did with Generative Design and increment on using AI. But our differentiation in combining AI is with combining AI to contextualize product data in PLM, ALM and SLM. This is the whole vision around product data foundation applying AI for actual insights. And there's no one else in the world given the ways in which we know the product data actually works within our customers' enterprise to apply relevant AI. So Siti, we're seeing really great feedback from POCs that we're undertaking within Codebeamer, Windchill as well as ServiceMax in addition to Onshape, and that is moving now into actually people securing an AI module on top of what they're paying in this example by ServiceMax. I will caution though, it is still early, and we're not giving out any ways in which this will formulate itself to ARR. We're working through that, but we're learning a lot from our customers. And it ultimately is highlighting that, that product data foundation, having us be your CAD capability, your PLM provider, your ALM provider and your SLM provider is absolutely critical for AI to actually work. So we're working through that, and we see a lot of value in it, and we'll continue to post you around how we evolve our AI releases as the year comes to fruition. Rob, anything to add?
Robert Dahdah: No, listen, it's an amazing opportunity for us for sure. Any place that we can help because of our unique data set create predictive insights. As Neil said, you automate repeat task, a ton of them out there that we can help with, with the data we have and the tools and the just enhance the user experience. So we have tons of opportunity there, and we'll explore those go forward.
Operator: Your next question comes from the line of Matt Hedberg with RBC Capital Markets.
Matthew George Hedberg: Congrats from me on the results. It's really good to see. Kristian, given the success you had in this quarter and the free cash flow commentary and even some of the commentary on taxes and FX movements. I wanted to ask about the prior $1 billion free cash flow target next year. Last quarter, you didn't really want to reiterate that number. But just sort of curious if you have any increased confidence in that with what you've seen this past quarter.
Kristian P. Talvitie: Yes. Matt, thanks. So first of all, I think that question is probably on everybody's mind. And just to remind everybody that as we talked about last quarter and even before that, there is, we'll call it, 5 key inputs to think about as we think about fiscal '26. One is, obviously, how we finish out this year really from an ARR perspective. Number two is, of course, the planning and budgeting both the top line and spending plans for fiscal '26. Obviously, FX rates can have an impact, tax -- cash taxes are something to keep an eye on and then, of course, interest rates. And without really -- we've provided guidance, the guidance range for how we think about how we're going to end this year. We haven't yet talked about the top line or spending plans for next year. So we'll leave those 2 aside. But obviously, FX rates where they stand today are better than they were better than they were certainly throughout most of this year. So that gives incremental comfort and the tax policy also should be a tailwind, which also gives us incremental comfort. So I mean, I guess, net-net, where we are here today, I think we feel incrementally better. Still a lot of work to do to get to a precise number, but we expect we'll have that for you next quarter.
Operator: Your next question comes from the line of Blair Abernethy with Rosenblatt Securities.
Blair Harold Abernethy: Great quarter in a tough macro guys. I apologize if you already spoke to this, I had to drop off for a couple of minutes. But Neil, I wanted to ask you about the ServiceMax business, which is now 2.5 years in. Can you just talk a little bit about how it has progressed in terms of cross-selling into the PTC base and the importance ServiceMax is in terms of your go-to-market motion? I just want to understand how much closer this business is going to market with your core CAD business.
Neil Barua: Sure. Thanks for the question, Blair. So it's important maybe to start the question off with relating that relating to that please... [Technical Difficulty] Sorry to everyone on the call. There's just an emergency reading going on in our building right now. Bear with us for a couple of minutes. We'd appreciate it. So we continue to. I think we just got the all clear. So sorry, Blair, I apologize I gave the whole answer. You didn't hear about it because the emergency in all fairness, I think one thing to note on ServiceMax, you'll see it in the customer appendix that there were -- and these are 7-figure deals are on ServiceMax to give context that connection to Windchill in some of these accounts is actually starting to formulate itself for customers to think about ServiceMax more broadly. And by the way, vice versa, there was a PLM win that was configured at a Medtech customer because of the ServiceMax connection back to PLM. So it is, number one, differentiating Windchill from the other PLM competitors that we have because ServiceMax is unique versus what Siemens has and Dassault, as you all know. That's point number one. From this year perspective, we have been hit by churn events that have not been pretty in terms of weighing down the overall growth rate of what we were expecting out of ServiceMax. And while we still have a quarter left the several deals that the team is still working on we've had to overcome some churn events that were mainly onetime idiosyncratic in nature. So we don't really see this continuing on in that velocity as we think about 2026. As an example, ServiceMax customer for the last 10 years got bought by a much bigger company that already had an executable field service management solution. And it turned out from us because they were using a different platform. Usually, ServiceMax customers are the ones that actually buy companies versus the other way around. So this was an anomalous event in that example. But to summarize, we still feel strongly at ServiceMax, its connection back to the core, meaning Windchill and Creo is really critical, particularly in the world of product data foundation as it enters the field and as you apply AI to it, our great ServiceMax is building is actually the most advanced in some of our AI capabilities. So that's something to stay tuned as you think about next year to really bridge the time between Windchill and ServiceMax and the rest of our digital threat here. So a bit of good -- a bit of negative on the churn, a lot of work ahead of us. And I will say that we've got our work kind of on ServiceMax, but we still feel strongly about the strategic intent of that business and how it fits in within our product data foundation vision.
Operator: Your next question comes from the line of Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer: Neil, in terms of your current pipeline, are you seeing some improvement in the percentage or magnitude of multi-solution -- multi [3-letter] acronym sales, a quarter ago, you suggested there might be some disaggregation of deals here and there in that respect? Are you perhaps seeing some reaggregation in terms of those kinds of multi-brand deals that are fundamental to your closed-loop life cycle management strategy? And sorry about asking the second question, but since you highlighted a corporate relationship with NVIDIA,I'd like to ask you about another one that has a direct revenue impact, namely the OEM relationship you've had with Ansys. I assume that survives the Synopsys acquisition. And given that Synopsys is now much more exposed to your world than just EDA. Do you see perhaps that there might be some further opportunity to expand on what has already been an expanded relationship with Ansys over the last number of years.
Neil Barua: Jay, thanks for the question. Good to hear your voice again. I'll take the second question first on Ansys, Synopsys. I'm thrilled with the scene being able to execute what was is -- what was difficult transaction I give kudos to his boldness as a CEO of seeing that acquisition through. And I think it's going to be great for both companies. As you know, I know Ajay well, and he's done a great job handing that off to Sassine. Rob and I actually have been spending time here, and we'll be spending more time with the product teams, too. I think it's a real good opportunity. We've already been discussing with Sassine to do much more with the new Synopsys, Ansys organization, and we'll make sure we lean into that because there is a lot of opportunity there. Nothing for us to disclose at this current time. But to answer your question, we're predisposed to making this a stronger partnership versus going the other way. So good news there on Synopsys, Ansys getting together for our customers and for PTC. On the first question around are we seeing more joint product offerings in our pipeline. That also has been an interesting thing that we saw kind of formulate itself in conversations in Q3. We've had a [PAC XC], by the way, here in Q3, where despite the uncertainty, we actually had the most number of executives and companies come to our CXC to discuss digital transformation. And the reason why I bring that up, Jay, is when they do come up, it's exactly what you said, they think about multi-products to transform. So while they came to the CXC thinking about a Codebeamer deployment, which is still critical, might be the first phase of what they do. It brings up the why does Windchill also benefit the product data foundation by doing it together. That doesn't mean the deal is won all collectively, but it does mean and it shows particularly as we tough thought through the AI strategy, why an engineering-focused workflow company like us to aggregate CAD, PLM, ALM and ultimately what's happening in the service organization has huge value for outcomes that are generated when you put AI on top of it. So we're looking forward to it. Jay. We're seeing more of it. I'm not here to pop the champagne yet. Hard work is still ahead. And -- but I'm starting to see some good trends on that front to your point.
Operator: Your next question comes from the line of Joshua Tilton with Wolfe Research.
Joshua Alexander Tilton: Thanks for sneaking me in. I echo my congrats on a good quarter. This one, I think, is for Neil or Rob, maybe, but I think earlier on the call, it was Rob who actually used the words that I believe it was -- the work has put in -- has been put into effect the outcomes when he was describing the go-to-market transition. So I guess if the work has put in, like when will we see those outcomes in full effect? Is it a next year event? Is it beyond? Is it sooner? Like when do we start to see the work that you put in bear fruit for the top line growth? .
Robert Dahdah: Thanks for the question. It's Rob. And I'm glad someone was listening, so that's good. The work never stops. So the initial work was really just setting the foundation, and not just, I should say, it was actually an incredible amount of work to be able to do that in a quarter and still deliver the quarter, typically you could find a number of outcomes, and that was the first kind of step. The next step is looking at how we talk about how we go approach the customers now, which is looking at the messaging and approaching the customer from an outside in perspective and the problems we solve and how we help them solve the problems, where specifically we play. That obviously is important along with how we staff the team, how we manage the performances of the team we have, upskill and deploy this stuff. And so to get to a specific point, you'd expect when you consider our deal life cycles, something out into next year where you could start to see like more of a lift. But that doesn't mean we can't get a benefit from a message that we deliver well. And in fact, we are. In fact, Neil and I happen to be it an account early on where we delivered the messaging kind of unpolished and really pull the deal back out of the fire that we might not have won. And now we're in the late stages of that deal. And typically, that deal might have gone by. We wouldn't even have seen it. And some of the bigger deals, something like that might take 6 to 9 months to close. So what I mean by, we're starting to see the results is we just try to -- the results are the checkpoints along the way. First organizing the team, then developing the messaging, starting to deliver the messaging, having that resonate with the customers and then have that be part of their budgeting cycle. So you could expect to see that. And that's what we're pointing at. I mean we're aiming at that for mid next year, mid to late next year.
Operator: Your next question comes from the line of Saket Kalia with Barclays.
Saket Kalia: Okay. Great. Listen, there's been some super helpful commentary on the near-term numbers, even more medium term. I'd love to ask a little bit of a longer-term question maybe for all of you, right, for Neil, Kristian and Rob, I was wondering if you folks can just talk about how you think about commercial optimization. There's a lot of value that you folks provide through your PLM and CAD systems. And historically, I don't think pricing has been as much of a lever of growth in the past. Maybe philosophically speaking, how do you kind of think about that as a lever going forward?
Neil Barua: So let me start. Rob could add and Kristian could play cleanup if needed. But philosophically, Rob, myself, Kristian and the leadership team have been working through commercial levers, far more and rigor than I think I've ever seen in the 2 years of at least been at PTC. So from a perspective of planning, thinking about options how it impacts customers, how might it flow through ARR, what are the impacts good and bad around certain ways in which we could think about commercial levers has been extreme detailed discussions over the last, call it, 90 days, as Rob has been getting the sea legs underneath them. So philosophically, Saket, we believe there is opportunity, and we believe there are distinct ways in which we could capture that opportunity. That being said, I think Kristian said this in prior calls, and I think I'd like to give Rob a chance also to articulate that to show the alignment here, we also have to be very mindful that the customer needs to see value also. And so all of this commercial discussion needs to be interlocked with the innovation that I'm pressing really hard on the product team to deliver, whether it be the AI releases, whether it be the continuation of what we're seeing some really good momentum on our SaaS product. So that when we actually execute some of these commercial levers, there is something that we give to our customers and say, "Okay, we're going to take it and there's something new that we actually can appreciate, why you're asking for this." And some cases, well, for the most part, we'll start doing that. In other cases, there are opportunities to continue to optimize the commercial arrangement that we have with customers. So let me pause there and see, Rob, if you want to add.
Robert Dahdah: Before I actually... [Technical Difficulty] All right, 3 times. So Kristian, actually, did some really good analysis to help us at least size the opportunity. And even when I came in, it was one of the first things we had a chance to look at together. And then, as Neil very well said, delivering this in the form of the value to the customer is super important. And also making sure that the teams, the commercial teams know how to have that conversation, which historically, we just weren't really that good at. So there are a number of things that we're going to bring together. But personally, I think it's a great win, obviously, even for our customers. If you think about how they structure their contracts and how they plan with other major tech providers. This is not like a new motion for that. So it's really more of a new motion for us. We have an opportunity to bring it to them in a new way now in terms of the value we deliver. And it's something that is an important part as we go forward to the strategy for the go-to-market teams.
Operator: Your next question comes from the line of Joe Vruwink with Baird.
Joseph D. Vruwink: I was hoping to discuss the new packaging for Windchill that was introduced earlier in the month that strikes me as a pretty big simplification. But maybe what's more intriguing if we can focus on the enterprise user designation and then also the world-based packages. Windchill has always had this great opportunity to expand in the ecosystem around your customers and achieve deeper adoption with some of the personas at the customer. Is this maybe a better way of getting at each of those things? And maybe are you are better equipped to execute? So why is this coming through now?
Neil Barua: Yes. Joe, let me start and Kristian knee deep in this as in Rob. You nailed it. This is -- the pricing packaging that you're referencing is all about making PLM expansion adoption just easier from a customer perspective. It also allows for migration of SaaS to be much more simplified number two. And number three is from how we're like how we're leasing embedded AI into Windchill. This will also make it an easier way in which the customers can consume that type of capability. So that's number one. Secondly, your question was like, why is this happening now? Well, I'll remind you, last year, when I became CEO, a big thrust of this was PLM is the epicenter of the vision of this company. And as we are continuing to make some success in that regard, we're making sure everything is set up for our customers to really get the value of enterprise PLM broadly and as it moves to SaaS. So that's part of the strategy of executing across the vision that is so critical to the product data foundation. Rob, anything to add?
Robert Dahdah: No, you nailed it.
Operator: Your last question comes from the line of Adam Borg with Stifel.
Adam Charles Borg: Awesome. Maybe for Neil, just going back to the macro for a minute. I'd love maybe to go a step deeper just on the federal aerospace and defense vertical, what you're seeing overall? And maybe just comment on the U.S. public sector as we head into the September quarter.
Neil Barua: What was the second part of your question, Adam, you cut out a bit?
Adam Charles Borg: Sorry about that. Just about the U.S. public sector as you head into the September quarter.
Neil Barua: So we're very bullish currently about the FA&D sector broadly globally. Some of you might have been with us in the Paris Air Show and you could have seen our Chalet was packed to the gills with the [indiscernible] of federal aerospace and defense companies. And as we all know, in this world that we live in, this has become a critical factor of an acceleration in many geographies the most notable being in Europe, the step-up that's happened with NATO in terms of what their commitments would be to spending there, not only defense, but also space as well. And we obviously had the tax bill passed here in the United States around what defense looks like for United States. So we are in a lot of different discussions there. Obviously, many of you know, we're very strong in this vertical, and we're leaning into making sure we capture a number of ways in which we get to help our customers deal with backlog and grow their businesses. You also saw that we're going full steam ahead on making sure the start-up community in space in aerospace is taking advantage of great capabilities and the broad set of capabilities we got with Arena, Codebeamer+ and Onshape and what we could do across the entire portfolio. So we're all chips in. We believe we can help our customers dramatically in that area, number one. Number two is on your question on the U.S. public. Look, I think some of the early on conversations, particularly in Q3 around impacts to introspection by different agencies, new agencies is still there. But I think because of the tax bill being passed and because of the criticality of things like NASA and the space program, et cetera, what the DOE is doing, we feel very well situated with how we serve those customers as well, but we're watching it carefully. I'll summarize that of all the geographies in the world, the U.S. is actually what we're looking at over the course of Q4 and Q1 to get more clarity than the rest of the world, which is actually, quite frankly, getting more clarity on several geopolitical fronts, policy fronts in the United States. So we're looking forward to the administration to continue to provide clarity to U.S. manufacturers across our customer base as well as the public side.
Operator: Your last question comes from the line of Clarke Jefferies with Piper Sandler.
William Clarke Jeffries: So Neil, what stood out to me were some of your comments around maybe some green shoots around inching up of win rates, not tell a clear signal, but maybe some reprieve in what has been a difficult selling environment. I just wanted to ask, what are your expectations for rep growth now that we're getting to the past, the period of maximum disruption kind of looking ahead to the year, not guidance, but philosophically, do you think the wallet share benefits from the verticalization will be more impactful? Or is there an opportunity here to increase the hiring on the rep side?
Neil Barua: Rob, do you want to start? .
Robert Dahdah: Yes. It's Rob. Thanks for the question. It's a formula we consider all the time because you always want to balance the incremental cost with productivity and ensure that we have optimized productivity before we start to go and incur the cost of incremental heads. But there's definitely an opportunity relative to what we've done here with the verticalization and the industry approach. Now we also had some opportunity internally to reposition existing investments. So while it wouldn't show in the kind of aggregate total, you might find internally that we had the opportunity to put more direct sellers versus overlay sellers into particular roles. So we're continuing to look at that, but there's no doubt that there's opportunity for us as we go into the next year. And if we see it, I've gotten great air cover from Neil and Kristian to add we're responsible and appropriate.
Neil Barua: And one last thing to summarize this. The -- one of the things we said as part of the go-to-market transformation is we would make sure from a layering perspective, we thought through that so that we could fund on the ground in front of customer sellers and those that are technical specialists to actually really think about increasing [wallet share] and get the messaging out that we're all, as you could tell, super jazzed about taking it in front of our customers. All right. Thank you for everyone for joining us and dealing with the fire alarms. We apologize for that, and thanks for your patience and for your questions also today. We'll be on the road the weeks ahead. Participating in investor conferences in August. Kristian will attend the virtual Oppenheimer Conference. In September, Kristian and I will be in the Big Apple at the Citi conference. Looking forward to seeing you all, and Matt will attend the Piper Sandler conference in Nashville. We really appreciate the engagement today. Thanks a lot.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.